Operator: Good afternoon, everyone and thank you for participating in today's conference call to discuss Profire Energy's Fiscal Second Quarter ended September 30th, 2015. Joining us today is the President and CEO of Profire Energy, Brenton Hatch and newly appointed CFO, Ryan Oviatt. Before we begin today's call, I would like to take a moment to read the Company's Safe Harbor statement. Statements made during this call that are not historical are forward-looking statements. This call contains forward-looking statements including, but not limited to statements regarding the Company focusing on regarding expenses; improving operational progress and making necessary investment. The Company's Chemical Management System being a good strategic decision and the product's ability to give the Company access to new markets and future growth. The Company's new Burner Management System opening up with opening up with new opportunities in other industries and market. The Company's belief that the new Burner Management System will not cannibalize sales for the legacy system. The first half of the fiscal year being more difficult than the second half of the fiscal year. The Company's revenue growth quarter-to-quarter not being indicative of revenue growth in future period. The Company's ability to improve treasury management. The Company's ability to improve the margin overtime as revenues increased. The Company's ability to execute on its capital allocation plan as outlined. The Company focused on resources in geographic areas believed to produce the highest return on investment. The Company's belief that its management that to, the current industry turbulence that could exchange the long-term effectiveness or efficiency of the Company. The Company's plan to attend future events with executive management or the Company's future performance relative to the guidance discussed on this call. All such forward looking statements are subject to uncertainty and changes in circumstances. Forward-looking statements are not guarantees of future results or performance and involve risks, assumption and uncertainties that could cause actual events or results to differ materially from the events or results described in or anticipated by the forward-looking statement. Factors that could materially affect such forward looking statements include certain economic, business, public market and regulatory risks and factors identified in the Company's periodic reports filed with the Securities and Exchange Commission. All forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All forward-looking statements are made only as of the date of this release and the Company assumes no obligation to update forward-looking statements to reflect subsequent events on circumstances, except as required by law. Readers should not place any undue reliance on these forward-looking statements. I would like to remind everyone, that this call is being recorded and it will be available for replay through November 16, 2015, starting later this evening. It will be accessible via the link provided in today's press release, as well as on the Company's website at www.profireenergy.com. Following Mr. Hatch's and Mr. Oviatt's remarks, we will open the call to your questions. As part of the question-and-answer session. Mr. Hatch and Oviatt will be joined by Profire Energy's VP of Sales, Cameron Tidball and VP of Strategy, Nathan McBride. Now, I'd like to turn the President and Chief Executive Officer of Profire Energy, Mr. Brenton Hatch. Please go ahead.
Brent Hatch: Thank you, very much. Good afternoon, everyone. Thanks for joining us today on our Q2 conference call. We're excited to have our new CFO, Ryan Oviatt on the call with us today. He's already had a tremendously positive impact on the company and we look forward to each of you getting to know him better. We're pleased with the results from the current period and feel that it's evidence of great strides the company has made to appropriately position Profire in the current industry environment. We have stated several times and still anticipate a relatively difficult year, for over our revenues and profitability that what this quarter shows is that, we are on the right track. We've made significant changes to our cost structure by right-sizing the business and refocusing our efforts on internal improvements. However that being said, with the view of the industry as it is. We are hesitant to believe that, we will see significant improvements in the short-term. With oil prices hovering around $45 per barrel. Some of our customers are not pursuing the drilling programs that we expect them to at $60 or $70 level. So for us, that's okay for now. We've shown that we can make money even at revenue levels half of what they were a year ago. As things slow down for the company. It forced us to concentrate on making internal improvements which we feel we've made good progress on, but recognizing we still have a long way to go. Much of what Ryan Oviatt is focusing on at the moment includes the bolstering of internal controls, internal management reporting, treasury management and general policies and procedures targeted at improving the company in both the short and the long terms. In the short time, Ryan is been with the company. He's shown tremendous capabilities in these areas and we're confident that he'll continue to add enormous value moving forward. As many of you have probably seen by this point in September, in conjunction with our annual shareholder meeting. We announced the completion and launch of our next-generation burner management system, the PF3100. This product creates a flexible solution to a variety of needs in the oil field. One of the reasons, we're so excited about the 3100 is its modular design, which we believe will be the platform for the company to enter many other industries. The PF3100 may eventually serve a variety of industries and markets such as agriculture, pulp and paper, industrial dryers and even commercial boilers among others. Because these systems have been created to manage more complex applications than the current 2100. We do not see much cannibalization occurring from our new products. It truly will allow the company to provide solutions for projects that we previously had very little capability of dealing with. We're not oblivious to the fact that there are a couple of major headwinds working against us right now including the industry in general and the US-Canadian exchange rate, which has negatively impacted our topline for more than a year now. We've recognized that, these issues exists but we feel there are number of reasons to be optimistic. We're excited about the future of the company and hope that you share that same sentiment. Before I talk any further, I want to turn the call over to Ryan Oviatt, our CFO to discuss the financial results of the quarter and the first half of the year. Ryan?
Ryan Oviatt: Thanks, Brent. It's good to be with all of you today. So my first experience on an earnings call. My first couple months with Profire has been great and the executive and management teams have worked hard to get me up to speed as quickly as possible. I joined Profire because I believed in the people and the product and feel that we can work together to continually improve processes and drive shareholder value. This afternoon, we filed our Form 10-Q with the SEC and summarized the results of the periods ended September 30, 2015 in the press release. All those documents are available on the investor section of our website. In the coming days, you'll also be able to find a transcript of this call in the same location of our website, that said. Let's get started with a look at the income statement. In the second fiscal quarter of 2016, our total revenues decreased 48% over the same year ago quarter to $8.1 million. Well the current industry environment has led to decrease purchasing from oil and gas company, it's when compared to the prior year. Total revenues increased nearly 18% compared to our prior quarter. The company stated several times that the first half of the fiscal year would be more difficult than the second half. However, we did not anticipate this type of growth in sales, so quickly and would be quite hesitant to communicate that the quarter-over-quarter revenue growth is indicative of our anticipated growth rates in future quarters. Now moving on, our gross profit decreased to $4 million or 50% of total revenues as compared to $7.3 million or 54% of total revenues in the year ago quarter. The biggest drivers leading to the decrease in our gross profit percentage year-over-year was the increase allocation of overhead, to cost of goods sold derived from our larger fixed asset base and an increase in proportional service activity, which carries a much lower margin. We've discussed both of these drivers before and their impact on our gross margin. We still do not feel that this is reflective of our long-term profitability potential. And largely due to a deleveraging effect derived from our lower revenue levels. We continue to focus on making the appropriate long-term strategic decisions to drive consistent value for the company and its stakeholders. Because of this, we feel that with the slight improvement in the industry and prudent internal investment decision, we will be able to improve margin levels in the long-term. Total operating expenses decreased to $3.4 million or 41% of total revenues from $5.3 million or 34% of total revenues in the same year ago quarter. These cost reductions were driven by an entity wide focus on reducing cost. Which we discussed each of the last two quarters in response to the industry downturn. We feel the company has been successful in its expense reduction measures evidenced by the current periods total operating expense level. And our ability to turn profit at significant reduced revenue. When compared with the same year ago quarter, operating expenses for general and administrative decreased 42%, R&D decreased 45%, payroll decreased 29% and depreciation increased 12%. We will continue to closely evaluate expenses and determine what actions if any, need to take in response to the industry, regulatory or commodity price changes in future quarters. Total [indiscernible] income during the period was approximately $360,000 and majority of which was attributed to the effect of exchange rates on intercompany transaction. Because of our exposure to the volatility of foreign currency exchange rates on the measurement of these intercompany account. We're evaluating options for reducing exposure to these fluctuations as part of our treasury management focus. Additionally as Brent mentioned, the impact of US and the Canadian Dollar exchange rate has had a negative effect on total revenues over the past several quarters because of our exposure to foreign currency exchange rates. The company will continue to be impacted by these fluctuations in future period. Our effective tax rate for the period was 25%. We anticipate our effective tax rate for the balance of the fiscal year will be slightly less than 30% as we benefit from certain deferred tax items. Net income for the period was approximately $780,000 or $0.01 per diluted share compared to net income of $2.1 million or $0.04 per diluted share in the same year ago quarter. Now looking at our results for the first half of fiscal 2015. Our total revenues decreased 48% to $15 million compared to the same period last year. Our gross profit decreased to $7.3 million or 49% of total revenues compared to $16 million or 55% total revenues in the same year ago period. Our total operating expenses decreased to $7.2 million or 48% of total revenue from $9.4 million or 32% of total revenues in the first half of fiscal 2015. Our net income was $0.3 million or $0.01 per diluted share compared to the net income of $4.3 million or $0.08 per diluted share in the first half of fiscal year 2015. We continue to maintain a strong balance sheet with zero debt. Cash and cash equivalents totalled nearly $19 million slightly above that of the cash balance in the same quarter, a year ago. In the first six months of the fiscal year, we've realized a net increase in cash of more than $4.8 million. In the current industry environment, it's great to see some positive cash flow, especially when it's derived from operating cash flow, as indicates for Profire. Part of the increase in the operating cash flow is currently working capital improvements and accounts receivable and inventories since yearend. The accounts receivable balance was $6.7 million was down $2.8 million since March, which is in part due to lower sales that also through a strong focus on customer collection. Inventory of $10 million was $1.8 million lower the yearend balance due to purchasing reductions and sales in the first half of the year. However, there is a chance that inventory will increase in Q3 due to finalization of some purchasing arrangements with our vendors relating to non-cancellable purchases that were put in place, prior to the industry downturn. Before I send it back to Brent. I want to discuss briefly our capital allocation strategy in the short and mid-term. We've filled with many questions about our plans to use our excess cash and allocate capital. First off, there is a certain level of comfort in having sufficient cash in the bank and maintaining a debt free balance sheet. Cash preservation and improved treasury management are going to continue to be a focus of the company and an integral part of our capital allocation strategy. Additionally, with our acquisition in the chemical management technology and our recent announcement of the PF3100. We need to make the necessary investments in those product and the support of those products to ensure they are a success. That will require investments in separate sales and service forces. Additional R&D expenditure and other technical and marketing support. We believe in the solutions we offer and are committed to their success and driving value for Profire, our customers and shareholders. In addition to cash preservation and investing in our current product offerings and support. We're exploring other investments that could drive long-term shareholder value including potential acquisitions of Adjacent Technologies, a stock repurchase program and other investment. Significant internal due diligence, management and board discussions and strategic planning goes into each serious investment decision. As always, we will provide updates for the market, if and when we finalize any significant capital investment discussion. To close, as someone who has worked in a commodity price driven industry and who has dealt with and manage through difficult industry circumstances before. I believe, Profire has a strong balance sheet, good product and great people which will help the company succeed in this challenging time. Overall the general tone of the company is very positive. We truly are optimistic about the future and I'm personally excited for what the company is now and what we can become. We will continue to work, to build the company and strategically position Profire to capture opportunities not only within the oil and gas industry, but also within new industries in the coming quarters and years. With that, thanks and I'll send it back to you Brent.
Brent Hatch: Thank you, Ryan. We're thrilled to have Ryan on the team at Profire's. I've mentioned, he's already contributed significant and is making the company better every day. We hope that each of you has the opportunity to interact with Ryan and get to know him and his management style better. With that in mind, we'll be attending a few events here in the next six weeks and Ryan will be travelling for a couple of those conferences. He'll be at the Cohen Energy and LD Micro Conferences in early December in New York City and Los Angeles respectively. In addition to those conferences, we'll be at the ROTH's New Industrials Corporate Access Day in mid-December in Chicago. We would love to sit down with you at one of those events and meet face-to-face if you would like. Ryan mentioned something that I want to take a minute to address. The topic being internal investments in our newest products, the Chemical Management System and the 3100. We feel strongly that these products will be crucial in the strategic development of the company and we need to make investments to ensure the success of these products. In the coming weeks and months. We will be internally training or hiring separate sales personnel to be product experts for the both CMS and the 3100. We will continue with R&D for these two products to improve and refine them to deliver the greatest value to our current customers and to enable the company to branch off into other industries in future period. We've already begun some testing for the 3100 in other industrial applications and hope to announce more about those developments in upcoming quarters. Additionally, we're excited about the progress we're making in increasing the number of customers we work with. Though the dollar value of each order may not be as high as we would like, it's always good to see orders coming through from new customers, which we believe will be a great benefit to the company as the industry environment improves. Though we're seeing good progress, that the industry volatility. There are too many unknown factors for us to be confident that the headway, we made this quarter will be sustainable in the short-term. For that reason, we have not made any changes to our guidance. We're guiding for total revenue between $25 million and $30 million with net income of negative $1 million to positive $2 million. However, as you can probably tell we're very excited and optimistic about the long-term prospect with the company. We have made a lot of good and necessary changes that have enabled us to turn a profited lower revenue levels. In summary, we truly feel that the future is bright for the company in the long-term and that we're well positioned to manage through this current industry volatility. As we've reiterated before. We feel that, it's a not question of whether or not, we'd make it through this industry storm. It's more a question of how capably we'd manage the process, how much we learn and how much strategic positioning we can do in the coming quarters. As always we have no debt. We have significant cash reserves which seem to keep growing and we're putting together a solid capital allocation and treasury management plan for that capital. We will continue to look for opportunities to make investments that we believe, could be accretive to the company. Now with that, I would like to open the call up to questions. So operator, would you please provide the appropriate instructions. So that we can get the Q&A started.
Operator: [Operator Instructions] William Bremer of Maxim Group. Please go ahead
William Bremer: I'd like to first, talk to you a little bit and just get a sense of, how is the overall bidding environment right now and have you had to make many concessions on price to move volumes? What's the general sense of what's going on out there? And then secondly, I would like to get a sense on how many pilots, you're currently doing with the CMS product? How many demonstrations you're doing. And then finally, get a sense on the overall amount of sales personnel that you provided last quarter, what's the current update given the magnitude of the pulled back operating expense?
Brent Hatch: You bet, Bill. Good questions. I'll defer it to Cameron Tidball, our VP of Sales, who's on the line with us right now. Cam?
Cameron Tidball: Thanks, Brent. Bill, good to talk to you again and thank you for your questions. First question, have we had to make any significant, I believe concessions on price in order to move volumes. I would be lying if I said every single customer hasn't asked us for that, given the climate we're at. So far, we have been holding on our stance at all of our suppliers have also for the most part have raised their prices. And so for the most part, we've been on steady path, we have not given a discount out of our normal discount structure that we've also had in place. However, it is definitely part of the endowment, where we're having to negotiate and navigate through these type of questions and challenges especially, when end users right now, they have the flexibility of not having to order their product from manufactured like a year, two years out like they used to before. So we've got a pretty good pulse on it. We've got great communication throughout the team and we're leveraging that to make sure that we're getting the best price that we can, when we sell things to our customers. The second question, how many chemical trials that we have out in the field right now. Without the specific number, I believe we've got still quite a few out there, where customers are filing it. We already had a couple finished those trials and agreed for their support. Really, we're seeing a very nice ramp of sales activity and interest in the CMS product line because of the potential benefits that exists and that being to save some chemical, to save some manpower windshield time, etc. So again, it hasn't been as quick as to market in realizing product sales as we have might. We do attribute a lot of that. The economic factors that are out there, even though the opportunity exist to have these savings. But the one thing I can say is, the sales activities continues to ramp as our sales people become more and more comfortable with this new product, as we find the contacts that are interested in meeting, these types of savings and as we make the presentation. So exciting things to come. Still very confident in the products, so confident in our ability to deliver, what we believe the product can do.
William Bremer: Cam, can you give us the sense of how many you did sell so far?
Cameron Tidball: Right now, so far we're approximately in the low 100 for actual system sales and then of course, goes to peripherals as I go with the valve fittings, service etc.
William Bremer: Okay and lastly, the magnitude or the number please of the sales as well as the service personnel currently on that?
Cameron Tidball: Sure. Yes, we've - throughout the process here you've saw and heard the cost reduction, we've made as an organization. One of the things that extend part of plan was to not deteriorate the sales and service team unless, needed. And for the most part, we've kept it intact. We've done some switch outs, which just caught me off. So it brings up some, brings available some talent that we might not have been able to guessed in other climate. But currently, we still are approximately 16 sales people and approximately 19 service staff across Canada and The United States.
Brent Hatch: Thanks, Cam and I might add to that, Bill that, we're looking at the opportunities now that are, that present themselves to even add a couple more, maybe a few more to our sales team, to not only get them prepared to know and understand the product that they're selling during these rather slower times. But to take advantage of, for example the new product that we have the 3100 and so on. So that may happen in these future quarters here. Thank you, Bill for calling.
Operator: Your next question is from Joseph Reagor of ROTH Capital Partners. Please go ahead
Joseph Reagor: Couple kind of high level things. First, it sounds like the payroll was down, there's part but it might be up a little but next quarter, but also I noticed the G&A was down. Is it G&A expected to stay flat with Q2 levels or could that have a little bit of uptick as well?
Brent Hatch: Joe, I'll have Ryan Oviatt deal with that, it'll be good.
Ryan Oviatt: Okay, Joe thanks for the question. As you mentioned our headcount numbers are down and so payroll is down and then the G&A area it's down in several kind of key factors. We're down in professional services. We've made cutbacks in travel and some of the trucks that we have, our stock-comp expense is down and some of our investor relation activities have been curtailed and cutback as well. So we think, we're at a manageable level there. And we anticipate getting - continuing on with that. And we don't expect any significant increases at this point, but those are kind of some of the big key areas where we're have realized some of the savings in the G&A side.
Joseph Reagor: Okay, also looking kind of at the cash generation during the quarter. It looks like, most of the generation could be attributed to just kind of movements in accounts receivable inventory and accounts payable. Are those moving sustainable? Or do you think maybe there's more cash generation that could come out of those areas moving forward? Maybe any color you could provide there?
Ryan Oviatt: Yes, that's a great observation. We definitely have focused significantly on the AR level and our inventory levels and really doing a deep dive this quarter into some of those numbers. And we focused heavily in the AR side, in trying to look at the significant balances that are outstanding and the long-term balances. And we've got those down quite significantly from where they were in the past and we continue to focus there. So we're hoping that we can bring that AR number down even a little bit more. But it's also down a little bit just due to the fact that our sales have come down. So it's one of those things, where we're glad that it's down, but we wish sales were higher. So in a way, we wish it was a little bit higher from that perspective. But we do hope that we can keep that managed pretty well and pretty the balance as current and maybe pull a little bit more cash out of there and have that down as a little bit lower of a manageable level. From an inventory perspective, I think it's again also come down and we've focused pretty heavily there. I think there is an opportunity for us to bring that down even a little bit further, but as we noted earlier in the call. We're in a situation, where in Q3 we're likely to have to see an increase in the inventory level as we managed through the inventory or the industry downturn. We went back and worked with our suppliers to try and cancel some of the long lead times purchases that we had in place right before the downturn. We were very successful in most instances there and we're able to council or postpone some of those purchases. However, as we've continued to work with them in this last month. There's an additional $2 million of inventory that we're going to need to bring on to our book in Q3 and that's just related to some of the long lead time items, that we weren't able to cancel. The good thing about that inventory is, it all relates to our flagship burner management 2100 product. So even though that would take our inventory levels up from where we would like to ideally see them right now. It's actually going to be able to position us well for the industry rebound and when prices come back and our customer start purchasing more, there won't be a long lead time and being able to service their needs and get those products. So we'll have that inventory on hand.
Joseph Reagor: Okay, now that's very helpful and then, just kind of much more important thing. The revenues rebound, they're pretty strongly in Q2. I know you guys said you're maintaining your guidance. It sounds like, Q3 and Q4 are little bit weak in the order book. Can you add any more color to that, to why guidance hasn't been raised, given your half way to top end of guidance already.
Ryan Oviatt: Yes, that one is a difficult one and I wish, we knew really what our customers are going to be doing there in our Q3 and our Q4. Typically, the customers are kind of at the end of their budget period for the year and some of them maybe still have a little bit of budget and they may want to use that and spend that money before the end of the year. However, we think there is a fair amount of them, that have already spent those budgets. So we're not entirely sure how this Q3 will turn. That combined with the seasonal holidays that are in Q3. Again, it just creates a lot of questions as to whether or not, in that revenue level will be sustainable for Q3?
Joseph Reagor: Okay and one final one, if I could. Just general regulation, maybe specifically. You can talk about Colorado? What are you guys seeing as far as people attempting to get these burner management systems in place. How did the deadline rapidly approaching and it doesn't seem like there's been upswing in sales that everyone kind of thought was coming.
Brent Hatch: We'll have Cameron Tidball, our Head of Sales again deal with that.
Cameron Tidball: Thank you. Yes, we would have to [indiscernible] regulation help pushes through that, however, you go to Colorado for example our major customer there that, have flowed and even [indiscernible] some of them drilling. Basically, they've come out and said, well we'll wait to see, what they'll actually do to enforce it, before we'll like to have push up and many of the regulators, when you really. They're very aware of the refinements [ph]. I don't think, they want to bite the hand that feeds them. I'm sure, there's some government pressure there. North Dakota is already relaxed. Alberta, Saskatchewan have already relaxed. Colorado hasn't come out and said they're relaxed, but from our sources they're relaxed that and they're reanalyzing how they're going to approach this. So for the most perspective - for the most part. I don't think regulation is going to pushing anybody. But what is going to push people is, if we continue to for better term preach that safety to see right now, no matter what and so that's kind of our focus as well, continues to be on that.
Operator: [Operator Instructions]. Your next question comes from Rob Brown of Lake Street Capital Markets. Please go ahead.
Rob Brown: You talked about investments, making investments for this new product ramps. What's sort of the level of cost structure? Is that within kind of current cost structure or do you see your cost ramping up in near term?
Brent Hatch: Ryan?
Ryan Oviatt: Yes, Rob. This is Ryan. That one is, still a little bit under evaluation at the moment. We're really still putting together some plans and some budgets and forecast for the coming year. So I can't give you any figures or cost. Ideally, we'd love to keep it within our cash flow and to not really have to defend to cash expenditure a whole lot, but that being said. We really want to make these product successful and we want to invest in them. We're in a position right now, where we can invest. So as we mentioned earlier in the call. We're looking at investing in some quality people in the sales and service forces that can come in and really help us take those products to the next level. And also continuing to invest in the R&D area, where we're making sure that these products are satisfying our customers' needs, that they're functioning efficiently and properly in the field. So again, we don't have a dollar amount to set aside specifically for these increases at this point, but that's definitely a key part of our capital investment strategy.
Rob Brown: Okay, great. Thank you and then, on sort of adjacent markets or these new product areas. What's sort of path of those growth, do you need to sign up partners or get distribution partners or is it that, just a matter of dedicating sales efforts to those channel or market?
Brent Hatch: We seem to be overworking, Mr. Tidball. But we'll - being that he knows sales so I'll again defer to him.
Cameron Tidball: That's a great question. I'll - some of it still on our investigation because right now even in the oil and gas market. The launch of the Profire 3100 has opened our eyes to the opportunities that exists it. Before, we just wouldn't even be brought to the table. Many of these things, we've realized and we already knew, we're probably not going to be able to tackle with our direct sales force. They're going to be taking, however a different skill set and as well as you mention partners, system integrators. I expect in the coming year. We'll be spending a lot of time with EPC [ph], their engineering and procurement divisions of [indiscernible] our Calgary, Houston, Denver. A lot of those types of projects that we want to get into. They're not going to come to direct to it, so company like us or any of our competitors. They're going to go through the [indiscernible], The Mustang, The Wood Group, etc. So a large effort will be placed on that in the coming year. As we can stress it, that way. But you're right, we - it is going to be a different strategy to market. I don't know it's been North American in our own turf [ph], we'll go to distributor route. I feel that, we still can just partner up with the right system integrators and really have our take any just two, as we've done with 2100, where we worked with multiple distributors without any exclusivity. So that would be the goal.
Rob Brown: Okay, great that's excellent. Thank you.
Operator: Your next question comes from Mark Lanier of Pegasus Capital. Please go ahead.
Mark Lanier: My question goes back to the 3100 and the size of the sum of adjacent markets. And how they relate to size of the oil and gas market you mentioned Ag and pulp and paper and I'm curious, what you see is the most attractive of the new market?
Cameron Tidball: I could take that, Brent. If you would like?
Brent Hatch: Yes, sure. That would be great.
Cameron Tidball: Sure. It's a great question besides of those markets and Ryan alluded to the fact that, using some of the, but hopefully just operating cash flow. We'll be able to see to get people to help us know, what we don't know. Pulps and paper, yes, we've done a little bit. Yes, we've gone out to a couple pulps and papers, mills, local to see what that would be. There is landfill [ph] applications, there is food processing. There is so much that could be launched into our first and immediate focus so, is kind of first of all we don't and that's bringing us way further downstream than we've been. Traditionally the Profire suite of product is way upstream right at the wellhead. Some transmission and some midstream application, but even at the midstream applications that these plants are way downstream, where they're actually doing some refining or getting things right for products, that's what we're hoping that we can get into. And if you go down refinery row [ph] in Houston or in Alberta. Some of the big plants, throughout, there's definitely an opportunity there. But again, it's how much we don't know, what we don't know yet. And so that's why we have to invest in these types of people that have been in this industry and been in those sales cycles which are longer. But they have larger groups.
Mark Lanier: And finally, will you comment on the various geographies and which were particularly strong this quarter?
Brent Hatch: Yes, Cam go ahead.
Cameron Tidball: So this last quarter kind of our little gem is the North East continues to be very strong for us. So that includes the Marcellus Shale, the Utica play there over in Ohio, Pennsylvania and West Virginia. Very strong for us, we have a very good foothold and that area seems to be very adept to taking on new technology as well as. Their whole life is low prices, that's the existence of that whole play is, low prices. So that, although it concerns them. They kind of have their own little micro problem [ph] there. And we continue do very well there. Obviously, the places we've not done as well as that have been hit very hard has been places such as North Dakota, Alberta, Saskatchewan all that Bakken area, that formation has it's the less cost there are very expensive and Colorado where they seem to have moved a lot of their focus to the Permian Basin in South Texas.
Mark Lanier: Thanks, Cam
Ryan Oviatt: Operator, are there any further questions?
Brent Hatch: Operator?
Operator: Sorry, my apologies. There are no questions at this time. I'll now hand the call back over to Brent Hatch for closing remarks.
Brent Hatch: Thanks very much. Thanks everyone for joining us today on our second quarter conference call. We'd like to thank all of our loyal customers, our employees of course and to all of our shareholders for their continued support and encouragement. Please know that we're of course available anytime to our shareholders to discuss any equations or concerns, that they might have. So thank you very much. Have a great day, everyone, thanks.